Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the SeaWorld Entertainment's Third Quarter 2015 Financial Results Conference Call. My name is Jamie, and I will be your conference operator today. At this time, all participants are in a listen-only mode. After conducting their prepared remarks, the management team from SeaWorld will conduct a question-and-answer session and conference participants will be given instructions at that time. As a reminder, this conference call is being recorded. I would now like to turn the conference call over to Mark Trinske, Vice President of Investor Relations. Please go ahead, sir.
Mark Trinske - Vice President-Investor Relations: Thank you, operator. Good morning, everyone, and welcome to our third quarter 2015 earnings conference call. Today's call is being recorded and will be webcast live. Our earnings release was issued this morning and is available on the Investor Relations portion of our website at seaworldentertainment.com. Replay information for this call can be found in the press release and will be available on our website following the call. Joining me this morning are Joel Manby, our President and Chief Executive Officer; and Peter Crage, our Chief Financial Officer. On today's call, we will review our third quarter 2015 financial results and the important factors impacting our business, and then we will open the call to your questions. Before we begin, I'd like to remind everyone that our comments today will contain forward-looking statements within the meaning of the federal securities laws. These statements are subject to a number of risks and uncertainties that could cause actual results to be materially different from those forward-looking statements, including those identified in the Risk Factors section of our Annual Report on Form 10-K filed with the Securities and Exchange Commission on February 27, 2015. These factors may be updated from time to time and will be posted in our filings with the SEC and made available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call, we will reference certain non-GAAP financial measures. More information regarding our forward-looking statements and reconciliations of non-GAAP financial measures to the most comparable GAAP measures are included in the earnings release and could also be found in our filings with the SEC. Now I would like to introduce Joel Manby. Joel?
Joel K. Manby - President, Chief Executive Officer & Director: Thanks, Mark. As we announced earlier this week, Mark joined us on just this past Monday as Vice President of Investor Relations, and we're very excited to have him on the team, so welcome, Mark. And with the addition of Peter and Mark, I feel very confident in the future of our finance and IR teams, so excited to have them both. So good morning, everyone, and thanks for joining us today. Our results in the third quarter give us early indications that our efforts to improve revenue and profitability are taking hold, but we recognize that we clearly have more work to do to fully stabilize and restore sustainable growth. As noted in our earnings release published earlier this morning, for the third quarter, we are reporting growth in total revenues, adjusted EBITDA, net income and net income per diluted share, despite a slight decline in attendance. Attendance increased at all but two of our park locations. However, these gains were offset by decreases in attendance in California and Texas. Peter will speak to these factors that we believe affected our performance at these two locations. I can say, though, that the rate of decline in California is slowing dramatically as we continue our long-term reputation campaign. And in Texas, we're implementing plans to improve results with changes to its pass products and through our upcoming attractions plans. And while we generated growth in key performance metrics during the third quarter, weather has again impacted our business. During the last six weeks, unusually heavy and frequent storms resulted in park closures at our locations in Virginia, Texas and Pennsylvania during key Halloween event weekends. In addition, while our cost-saving initiatives are having an impact on the bottom line, these savings are being offset by increased costs from legal matters and associated reputation initiatives. Due to these factors, we are updating our full year 2015 adjusted EBITDA guidance to be in the range of $360 million to $370 million. Now, I want to make it very clear that I'm not pleased with this. In the second quarter call, I reaffirmed guidance, so it's very disappointing to me to have to adjust our range. However, I also want to put it in perspective. In 2013, this company earned $439 million in EBITDA and dropped $69 million the next year in 2014, or about 16% in one year. Given our current guidance range of $360 million to $370 million for 2015, and given a $10 million pro forma adjustment last year, the cash generation of this company will essentially be flat to last year, assuming we hit our guidance. Therefore, even though we've adjusted our full year 2015 outlook, and I'm certainly not pleased with that, we are clearly seeing signs of stabilizing our portfolio and improving our business fundamentals as evidenced by our third quarter results, which is our largest quarter of the year. And we'll end the year dramatically slowing the rate of decline in adjusted EBITDA versus the prior year. As I previously mentioned, we've seen a meaningful reduction in the rate of attendance decline in California. Our reputation campaign continue to produce encouraging results as our employee testimonials, social media campaign and television ads continue to drive positive sentiment and resonate well with our guests, as well as with potential guests. We remain committed to sharing the facts and correcting misinformation about SeaWorld through our ongoing reputation campaign. We've learned quite a bit about what works in this regard and believe that going forward we can be more effective at relatively equal spending levels as this year. I'm also excited about how we plan to evolve the SeaWorld brand to generate a more positive connection with the changing expectations of our guests. And we'll have more to tell you about this at our upcoming Investor Webcast on Monday. On the investment side, I'm excited about the additions to our 2016 attractions lineup, including our two new rollercoasters coming to Florida and our new Discovery Point attraction in Texas. We are committed to targeted and disciplined investments in our parks through unique new attractions and compelling consumer events. These new attractions will broaden our appeal and improve our competitive positioning in these key markets. We look forward to introducing Mako, our record-breaking hypercoaster in Orlando and Cobra's Curse, our new family-friendly spin coaster in Tampa next year, as well as Discovery Point, our new dolphin habitat and interaction in Texas. Now, I'd like to take a moment to update everyone on our Blue World Project. Last month, the California Coastal Commission approved the coastal development permit for our Blue World Project, but with conditions that we believe are unacceptable. The attempt by the Coastal Commission to grant a conditional permit that restricts breathing and transport of our whales at SeaWorld San Diego is beyond the scope of their authority and we will challenge it in court. And we'll keep you updated on the status of both the legal action and the Blue World Project in future communications. At this point, the lawsuit is about precedent on the future projects built by SeaWorld or really any other zoo or aquariums in the State of California. Over the past seven months, I've been working hard with our team on a thorough analysis of the business, including our strengths and the challenges we face moving forward. SeaWorld has solid business fundamentals and significant growth potential. And I believe we can overcome our challenges with effective long-term planning, evolving our brands with guests' evolving expectations and targeted capital investment and disciplined execution at all levels. Looking ahead, we have developed a comprehensive and strategic plan to build upon our unique strengths, which includes a new approach to our brand commitment and an intensified focus on financial discipline and capital allocation. I look forward to sharing additional information about how we will execute on this plan and achieve our objectives during our upcoming Investor Webcast on November 9. With that, I'll turn the call over to Peter to walk through our third quarter 2015 financial results.
Peter J. Crage - Chief Financial Officer: Thanks, Joel. Good morning, everyone. Before I review our third quarter financial results, I would like to briefly remind everyone of the seasonal nature of our business. Typically our company generates the highest revenues in the second and third quarters of each year, due in part to the seasonal operation of six of our theme parks. Approximately two-thirds of our attendance and revenues are generated during the months of April through September, with the third quarter being the most significant. Turning to our financial results. For the third quarter of 2015, the company generated revenue of $496.9 million, an increase of $1.1 million from 2014. The slight increase in revenue was driven by a 0.6% increase in total revenue per capita, partially offset by a 0.4% decrease in attendance for the quarter. The increase in total revenue per capita to $59.36 in the third quarter of 2015 from $58.99 in 2014 was the result of a 2% increase in in-park per capita spending, which improved primarily due to pricing increases in culinary offerings, offset slightly by a 0.2% decrease in admission per capita. During the quarter, we reported increased attendance at all but two of our park locations due to additional promotional offerings and a favorable operating schedule, resulting from the later timing of the Labor Day holiday in 2015. However, overall attendance for the third quarter declined slightly due to decreased attendance in California and Texas. We believe the decline in attendance in California was related to our continued challenges with the SeaWorld brand in that state. As Joel mentioned, we are addressing these issues through our ongoing reputation and fact-sharing campaign. We plan to reveal more about the evolution of our brand in our Investor Webcast on Monday, a shift we believe will more favorably position us to attract both past and new guests. The decline in attendance in Texas was related to a reduction in promotional offerings and passholder visitation, along with a lack of significant competitive offerings at this location. We believe changes in promotional offerings and changes to the design of our Fun Card, along with adverse weather in the second quarter negatively impacted the sale of Fun Cards at this location. As we mentioned on our last earnings call, we expected our Texas location to be impacted by the lingering effects of record levels of rainfall experienced early in the operating season, a time that is typically the peak sales period for our Fun Card and annual passes. Going forward, we are making changes to our Fun Card and other ticket products in Texas, and as Joel mentioned, we expect our new Discovery Point attraction, which will open in May of 2016, will help counter competitive pressures. On the expense side, cost of food, merchandise and other revenues decreased 3% to $37 million in the third quarter of 2015 from $38.2 million in 2014. These costs represent 19.2% of related revenue in the third quarter of 2015 compared to 20.2% of related revenue in the prior-year quarter. This improvement is a result of our active cost initiatives, including executing on our leveraged buying efforts. Operating expenses decreased 2% to $196.9 million in the third quarter of 2015 from $200.9 million in 2014. The decrease in operating expenses was a result of cost-saving initiatives implemented in December of 2014. SG&A expenses decreased 3% to $47.7 million in the third quarter of 2015 from $49.2 million in 2014. The decrease in SG&A expenses was principally related to a decline in noncash barter transactions, partially offset by a small increase in incremental noncash equity compensation and increased legal costs. Adjusted EBITDA increased 4% to $217.5 million in the third quarter of 2015 from $209.1 million in 2014, reflecting the results of both increased revenue and our continued cost saving initiatives. Depreciation and amortization expense remained relatively flat at $44.5 million in 2015. Total interest expense decreased 28% to $15 million in the third quarter of 2015 from $20.9 million in 2014, due to the early redemption of our 11% senior notes earlier this year, which were replaced of our new 4.33% Term B-3 Loan. This refinancing is expected to generate about $14 million in annual interest savings. Net income increased 12% to $98 million in the third quarter of 2015 from $87.2 million in 2014, while diluted earnings per share increased to $1.14 in the third quarter of 2015 from $1.00 in 2014. Turning to the balance sheet, we ended the third quarter with $119.7 million of cash and no amounts drawn on our revolving credit facility. Total long-term debt including current maturities was $1.62 billion. Our net leverage ratio as defined by our credit agreement at the end of the quarter was 4.3 times adjusted EBITDA. We also made a prepayment of $30 million on our Term B-3 Loan in accordance with our credit agreement in October using cash on hand. Based on our quarter end leverage ratio, we have $120 million of restricted payments capacity in 2015, of which $32.3 million remains available. Through November 4, we declared $72.7 million in dividends and repurchased $15 million of our shares in September of 2015 at an average price of $17.92 per share. At this time, we have $220 million available for future share repurchases under our share repurchase program. This brings me to our outlook. The following guidance is based on current management expectations and is subject to change. As Joel previously discussed, due to adverse weather impacts over the last six weeks, along with increased costs from legal matters and associated reputation initiatives, we now expect our 2015 adjusted EBITDA to be in the range $360 million to $370 million. We are also updating our capital expenditures guidance for 2015, which we now expect to be in the range of $165 million to $175 million. Now I would like to turn the call back over to Joel.
Joel K. Manby - President, Chief Executive Officer & Director: Thanks, Peter. And before we open up the call to your questions, I want to reiterate that while we're disappointed to be adjusting our outlook for the year, we are seeing signs of stabilization in our portfolio. We have established a strategic plan that we expect will capitalize fully on our many, many opportunities. We will continue to take the necessary action to deliver results and drive shareholder value. I want you to know there are many, many good things happening here, and I'm very, very excited about our future. So we look forward to communicating our plan to you and our Investor Webcast on Monday, November 9. And with that, we'll now open up the call to your questions.
Operator: Your first question comes from Tim Conder with Wells Fargo Securities. Your line is open.
Tim A. Conder - Wells Fargo Securities LLC: Thank you, gentlemen. A couple of easier ones here, and then maybe, Joel, I don't want to steal your thunder, but I may ask you to give a little more color. The SeaWorld branded park trends, you talked about there were only two parks that were down in attendance. In Texas in particular, granted there's been a lot of weather issues, and Peter, you alluded to that that impacted some of your type of season pass related sales. We didn't see as much of an issue from other regional operators in that market, so any additional color from that perspective. And then on the international front, did you see in Orlando – granted, Orlando was up, but did you see any impact from international guests? Have you seen that year-to-date, given the FX exchange rates potentially impacting Brazilian and European visitors?
Peter J. Crage - Chief Financial Officer: Hi, Tim. It's Peter. Good morning. On the Texas park and more broadly, the company, to put it into perspective, we identified these two parks as being soft for the year. But if you were to assume for the time being that those two parks were flat year-over-year, the company would have in fact driven stronger EBITDA and we'd likely have produced adjusted EBITDA in the third quarter in the mid-$220 million range. So those two parks we really want to isolate for investors and ourselves where we're seeing our softness. Now Texas particularly had weather issues, no question, but as we went through the third quarter, we also saw the weather that impacted pass sales earlier in the year, obviously impacted attendance and revenue as the quarter went on, but we also saw some other things as we mentioned in the release and in our prepared remarks. That being changes in our pass program as well as our competitive position in the market as we ramp up for 2016's CapEx. So hopefully, that answers the question.
Joel K. Manby - President, Chief Executive Officer & Director: Yes. And Tim, good to hear your voice. It's Joel. Let me add to that. I think in Texas definitely weather was an issue. I can't speak to our other competitors. Certainly, Six has a park there. They have 30 parks to offset around the world and country. However, it wasn't just weather. We did have some marketing missteps, I think, that we are correcting. We not only had weather in the spring, which really hurt our season pass sales and our Fun Card sales in the spring, and when you sell predominantly in the spring and you have huge weather issues, that hurts you the rest of the year. So to address that, we have, basically, a revised pricing philosophy, which I'll share more on Monday, but we have basically moving to an advance purchase philosophy, very heavy fall marketing for the following year, making it best price, buy early and save, fairly typical strategy. And they did not have that as a heavy focus going into 2015 and were really hurt by the weather. And then we split the Fun Card there and had a fall Fun Card, and basically it was a brand-new product. I think there was confusion in the marketplace. And we're going back to a more typical full year Fun Card, full year season pass, and we're also trying to move people from the less effective – not less effective, less profitable Fun Card into our season pass. So that could be part of the reason. And also we didn't have product there, which Six had a very strong coaster in Dallas – I'm sorry – yes, in Dallas, but also in San Antonio as well. So look, we don't want to say it's all weather. It's really all three of those factors caused San Antonio. But I want to reiterate at a higher level that basically if Texas and San Diego had been flat, we would have had an incredibly strong quarter from all our other parks, as Peter articulated. Now on the international front, to your question, we have admitted in the past and I think the data would show that we are losing some share in international to our competitors. However, at a broad level we think it's because, frankly, in Orlando, it's Harry Potter for the most part. We are going to continue our efforts there, and it is broadly about 15% of our business. So as you'll see on Monday, we have a strong strategy to make sure we maximize and fix our issues on the 85% of the business that's local, drive and overnight and domestically first, and then we'll have more specifics to fix any issues that remain in international. But we can only do so much at one time, and we're focusing on fixing where we can have the biggest bang for the buck.
Tim A. Conder - Wells Fargo Securities LLC: Agreed. And very helpful, gentlemen. And I think you've answered one of those other questions already through what you just said there. Last question as it relates, again staying on the international front, and Joel I know you guys are working, I'll say tongue-in-cheek here, 36-hour days. But any update on the international park development, the asset-light approach or should we wait on Monday for that?
Joel K. Manby - President, Chief Executive Officer & Director: Well, I will say – and I know this is frustrating to hear because we've said it the last three calls that – well, I've been on two others, we are progressing. We don't have an announcement of a definitive agreement deal. However, I will say it's progressing well. In fact that organization that we are working to partner with was just here in Orlando about three weeks ago. I met with them all and Jim Atchison was meeting with them. We are making progress. But these things take – they are incredibly complex and they take time. I think Disney and Universal negotiated for about 10 years. We will do better than that. But they're not easy deals, but I don't want anyone to think they've stopped. But we are not a definitive agreement level to make an announcement.
Tim A. Conder - Wells Fargo Securities LLC: Okay. Thank you. We'll see you on Monday and then later on in that week.
Joel K. Manby - President, Chief Executive Officer & Director: All right. Good, Tim. Thanks.
Operator: Your next question comes from Afua Ahwoi with Goldman Sachs. Your line is open.
Afua A. Ahwoi - Goldman Sachs & Co.: Hi. Good morning. Just a few questions for me. First, we appreciate the EBITDA guidance on the – or the impact from Texas and California. Could you maybe translate what that implied for attendance or maybe pricing? What that sort of $8 million delta would have meant that San Diego and Texas attendance was down? And then for the legal costs and the reputation costs you mentioned, how should we think about that going forward? And especially on the reputation, I think you had indicated in the past that there was sort of a $15 million marketing spend associated with that brand. Should we think of that as $15 million plus some more, and what's the right run rate to use going forward?
Joel K. Manby - President, Chief Executive Officer & Director: Peter, why don't you take the first one and I'll take the reputation one?
Peter J. Crage - Chief Financial Officer: Sure. Good morning. Triangulating that, as you know, for competitive reasons we don't provide attendance revenue per capita data by park. It was my intent, though, to just sort of tease out where we're having our issues, and so with respect to specific attendance numbers by park, we don't break that out. I just wanted to give a sense of where we're having our issues. And as I said, at the risk of repeating myself, if those two locations had been flat, we would have delivered adjusted EBITDA in the mid-$220 million range.
Joel K. Manby - President, Chief Executive Officer & Director: And then as far as the reputation spend, it's good to hear your voice, Afua, I would think of it this way. We were in that range and as we communicated, about $15 million. As we look forward to 2016, we have learned a ton about our reputation spend and its effectiveness. As we said earlier, when we get the facts out, it's very impactful. Our guests resonate, our potential guests resonate with the facts, and it does make people more inclined to support us, more inclined to visit us, and their overall view of us definitely improves. And we will share some of that data on Monday. I think in 2016 we are hoping – I don't want to commit that we can do more with less, but I would say if we spend the same amount of money and apply the learnings, we will be even more effective in 2016 through our spending. So I think even if we keep those expenses the same at a broader level, which may be the question behind your question, I do think this company – we have opportunities on the cost side elsewhere and we will try to apply that; even if our reputation spend's flat we have to find efficiencies elsewhere in the company if that continues.
Afua A. Ahwoi - Goldman Sachs & Co.: Okay. Thank you. And maybe just one more follow-up. On the promotional offerings that you indicated, promoted – contributed to attendance growth, I think last quarter you had indicated that in the back half you would be positive revenue per cap or admissions per cap. So how much do you think the promotions weighed on admissions per capita growth? And I think we actually saw that you increased prices in Orlando. So maybe talk to us about increase in organic versus the promotional cadence.
Joel K. Manby - President, Chief Executive Officer & Director: Do you want to take first half and I'll take the philosophy after you hit the numbers?
Peter J. Crage - Chief Financial Officer: Certainly. We did see an improvement in per capita on the admission side. If you carve it out, about a $1 improvement on a net basis. So we saw a slight per capita improvement overall that was driven quarter-over-quarter by about $1 in admissions.
Joel K. Manby - President, Chief Executive Officer & Director: And that was definitely heading in the right direction. Philosophy-wise heading into 2016 we definitely are putting guardrails on the number of offers we have out there. I think sometimes there's confusion if you have too many. So getting to the purchase, we're going to simplify people's ability to upgrade to really more profitable Fun Cards and season passes versus daily, kind of a good, better, best. And you'll see more of that or hear more about that on Monday from our Head of Marketing. So even though we had some improvement, it's not as good as we want it to be, but I think we have a philosophy and a way to look at the business that will get us there over time. And I'm glad that it's headed in the right direction.
Afua A. Ahwoi - Goldman Sachs & Co.: Okay. Thank you.
Operator: Your next question comes from Barton Crockett with FBR Capital Markets. Your line is open.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. Thanks for taking this question. I wanted to talk a little bit about the impact on public perception from the continuing back and forth legally in California. So you're challenging this California Coastal Commission decision, which makes sense. The management team last year said that the publicity around the legislative effort to I guess ban orcas at the park was what drove the attendance weakness last year at San Diego, which was the biggest culprit in the 5% decline you had last year. Here we've got a prospect of an extended legal situation with the California Coastal Commission. So a few questions around that. Are you seeing the type of press coverage around that that you saw last year or is it somewhat less? How long do you think this goes on? And then I also want to understand, what are you trying to say you do with the San Diego park if this thing is in limbo? I mean do you have to wait for a decision here to go ahead and build? And if you don't get that decision, how would you react?
Joel K. Manby - President, Chief Executive Officer & Director: Let me answer it in reverse order. As far as the last part of your question, no we are not going to stay in limbo at all. We felt like we had to challenge Blue World from a precedent standpoint, not only for Blue World Project specifically, for any project we do with the Coastal Commission moving forward, but also really for any zoo or aquarium in California, if this precedent goes, it's a very dangerous one I think for the entire industry, and we don't like it. So we're going to fight it, period. In the meantime, what I'll talk about a little bit on Monday, but I'll just give you the headline. We are going to move forward with other capital there. We're going to reallocate a portion of that $100 million. It will be much less, but we can do a very effective attendance-driving, return-generating attraction, and I'm actually very excited about the alternatives we're already coming up with. And we're definitely going to still hit that 2018 window on that. Now as far as your broader question, look, we don't like that kind of press. We had hundreds of employees and guests filling that room there. We had a positive recommendation from the Coastal Commission to build it under our specifications. You just never can predict a political process and it was disappointing, and yes there was some negative press. But I think broadly the San Diego park is definitely stabilizing. The attendance decline a year ago was quite dramatic. This year it is very, very much lower, like from a double-digit to a low-single digit or mid-single digit kind of range. So it is definitely stabilizing and the profitability is stabilizing. Will it continue going forward? I can't predict, but I will say, we're going to do whatever we need to do and I do believe with this roughly flat amount of money from this year, we can be very effective in California, continuing to get our message out. Because when we get our message out, what we care about is the consumer response, and we are stabilizing our attendance and we can't worry about what the politicians are doing there as much as we've got to worry about what the consumer is saying and are they coming to the park.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. If I could switch gears – and thank you for that. If I could switch gears to one other quick question, Labor Day was later this year. How much did that lift your third quarter attendance and revenues would you say?
Peter J. Crage - Chief Financial Officer: Well, Barton, it's Peter. As we pointed out earlier on, the issues affecting the two locations, San Diego and San Antonio obviously muted the lift that we saw company-wide. We did see a lift in the remaining locations. That's why we would have delivered, if not for those two parks, would have delivered strong results. So we were satisfied with the lift that we received from that extra week in the other parks. But again, the two parks that caused us the most pain this year neutralized that almost completely.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. All right. I guess I'll take it offline. But thank you for that. I appreciate it.
Peter J. Crage - Chief Financial Officer: Certainly.
Operator: Your next question comes from James Hardiman with Wedbush Securities. Your line is open.
James Hardiman - Wedbush Securities, Inc.: Hi, good morning. Thanks for taking my call. Just a couple quick follow-ups on this Coastal Commission issue. Just so I understand, you gave us some great color on where the San Diego park was previously, and presumably where it was during the third quarter in that low- to mid-single digit decline range. Just so I understand, though, the Commission's ruling was in the fourth quarter. Has there been another leg down since then as that negative press presumably got out there? Or has it continued to maintain that sort of low to mid single type decline?
Joel K. Manby - President, Chief Executive Officer & Director: I can't comment on the specifics on going forward with the percentages. But even though the decision was in that quarter, there was a lot of discussion, a lot of press, a lot of things out there before that. It was an ongoing kind of public issue that got a lot of attention. So again, big picture we definitely see things stabilizing. Has it completely stabilized? No, but it's definitely heading in the right direction and we do have plans to keep spending on our reputation campaign there because the facts do help us when we get them out there.
James Hardiman - Wedbush Securities, Inc.: Fair enough. And then, just help us, obviously there's some disagreement with respect to what their jurisdiction is. But help us understand, do you need to gain their approval on any and all construction projects or just certain types of construction projects? And is it possible that they hold the Orca issue over your heads even for projects that have absolutely nothing to do with Blue World or anything like that?
Joel K. Manby - President, Chief Executive Officer & Director: I think the main thing about that lawsuit is precedent and I really think it's about – the whole issue was about Orcas in that project. So, I wouldn't extrapolate out at all there. Look we've worked with the Coastal Commission for 20 years. We've never had any problem. This is the first time we ever had any project with what we would call an unacceptable condition. And I think it is really tied to that Orca issue and breeding specifically. So, I think I would not personally extrapolate.
James Hardiman - Wedbush Securities, Inc.: Okay. But just so that we understand, if you build a new rollercoaster in SeaWorld San Diego, do you need to go in front of that Commission every time you do that?
Joel K. Manby - President, Chief Executive Officer & Director: We do, but again in the 20 years association of our company we've never had issues before. And again the Coastal Commission was very positive, positive recommendation, so we really don't anticipate this as ongoing issue for anything other than the breeding issue or with an Orca.
James Hardiman - Wedbush Securities, Inc.: Okay. Thanks. And then last question. Maybe just give us a little bit more color. You talked about closures over the past six weeks at three of your parks. Obviously we understand some of what was going on in Texas earlier in the year, but can you just walk us through those three closures? How significant were they? How long did we see closures? I'm assuming most of that is the fourth quarter, but help us quantify some of that over the past six weeks.
Peter J. Crage - Chief Financial Officer: Sure, Marc has some of that info. I'll let Marc jump in.
Marc G. Swanson - Chief Accounting Officer: Hey, this is Marc Swanson, how are you?
James Hardiman - Wedbush Securities, Inc.: Good.
Marc G. Swanson - Chief Accounting Officer: So we saw some closures at our park in our location in Texas. So that was if you recall just a couple of weeks ago they had the big rain that came up through Mexico, Patricia and then ultimately spread into Texas. So, unfortunately that closed the park on the Saturday before Halloween which traditionally can be one of your biggest Halloween days of the season. And then prior to that, a couple of weeks before that we had the Joaquin remnants that were going up the East Coast. You probably recall that. That also impacted our park in Williamsburg and our park in Langhorne, Pennsylvania. And again, both of those were closures of the Halloween event. So in the case of Williamsburg, the park was able to open slightly for the day, but then at night when they get their big Halloween attendance they had to shut down on a pretty significant Halloween night. Similarly for Sesame Place which is more of a daytime event. But when you kind of add those three up, that had a significant enough impact that we had to – coupled with some of the expense things we talked about, we had to relook at our guidance.
James Hardiman - Wedbush Securities, Inc.: And what were the dates, I'm sorry on the Williamsburg and the Sesame Place, what was the timing of that?
Marc G. Swanson - Chief Accounting Officer: I can get you the exact dates, but it would have been when Joaquin was moving up the East Coast. That was the storm that ultimately kind of shifted out to sea, but it dropped a lot of rain if you remember in the Carolinas, they had severe flooding and then that kind of moved up into Virginia and the Pennsylvania rain and whatnot.
James Hardiman - Wedbush Securities, Inc.: Okay. But it was early to mid-October time – it was fourth quarter.
Marc G. Swanson - Chief Accounting Officer: Yeah.
Peter J. Crage - Chief Financial Officer: First or second week...
Joel K. Manby - President, Chief Executive Officer & Director: I think it was the second week, but, yeah...
James Hardiman - Wedbush Securities, Inc.: Got it. Okay.
Peter J. Crage - Chief Financial Officer: And then Texas (39:55).
Marc G. Swanson - Chief Accounting Officer: Texas was the weekend of the 24th of October.
Joel K. Manby - President, Chief Executive Officer & Director: The weekend before Halloween.
Marc G. Swanson - Chief Accounting Officer: The weekend before Halloween.
James Hardiman - Wedbush Securities, Inc.: Got it.
Marc G. Swanson - Chief Accounting Officer: Traditionally it's a big weekend.
Joel K. Manby - President, Chief Executive Officer & Director: It's usually the biggest weekend.
James Hardiman - Wedbush Securities, Inc.: Got it. Thanks for the color, guys.
Marc G. Swanson - Chief Accounting Officer: Thanks, Jim.
Operator: Your next question comes from Felicia Hendrix with Barclays. Your line is open.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Thank you so much for taking my question. Peter, I have a question for you on your revision of your full-year guidance.
Peter J. Crage - Chief Financial Officer: Sure.
Felicia Hendrix - Barclays Capital, Inc.: I was just wondering if you could go through the assumptions you're making there. So EBITDA was about $10 million light in the quarter relative to where consensus was, and you're lowering your full-year EBITDA at the midpoint by $10 million. You called out weather for the past six weeks and the Halloween closings and we've talked about that now extensively. But I'm just wondering given the miss in the quarter and then the weather issues, I would have thought that maybe your guidance would have come down a bit more. So can you help us understand what you're seeing in the fourth quarter that gives you confidence in your forecast?
Peter J. Crage - Chief Financial Officer: Well, obviously we've gotten through October and we've talked about those impacts. We also talk about the cost impacts that we see and we see as likely continuing through the end of the year. So those are the bad guys, if you will. We also have taken a really close look, now that I'm 60 days into the job, at the remainder of the year. And as you know in this business, the remainder of the year doesn't have a lot of upside and we have a lot of concentration risk, primarily around the Christmas timeframe. So what we did really, quite frankly, was look at our worst and our best over the last several years, and given the two things we already know, cost and the impacts that we had in October, and as well as handicapping where we think we'll be for the rest of the year, we felt comfortable with this revised guidance. Now to put it into perspective, last year in the fourth quarter we did just under $50 million in adjusted EBITDA. Our range now given our EBITDA for the trailing nine months, our range puts us between $46.2 million and $56.2 million for the last quarter, so that midpoint is right around $51 million, $51.5 million. That would give us about 2.5% growth. So we did 4% growth in the third quarter. If we do 2.5% growth in the fourth quarter, we'll be at the midpoint. But we believe that range is appropriate given what we know and what we don't know.
Felicia Hendrix - Barclays Capital, Inc.: And does it assume growth in attendance and rev per cap? Because based on our estimates it would need to.
Peter J. Crage - Chief Financial Officer: It does, it does some in the latter part of the year because we have these cost pressures. But that doesn't mean we're not going to try to find opportunities here to beat this if we can. And I'm not suggesting we will, but if there are cost opportunities over the next two months, I'll tell you the team is hard at work to make sure that if we are challenged by weather again, whether that be La Niña or El Niño, I'm not sure which pattern is coming through the Southern United States over the next couple of months, we're looking at costs as well to make sure that, whether it be the top line or on the cost line that we do everything we can to hit these numbers.
Felicia Hendrix - Barclays Capital, Inc.: Okay. Thank you. And then this next question could either be for you again, Peter or Joel or both. I think we've tried to touch upon it throughout the call, but I just wanted to get back to in maybe a different way talk about the pricing power you have at your resorts. It seems like a constant theme: attendance is sensitive to pricing and promotions. And I know Joel, you said that you have a lot of strategic things to talk about on Monday, and you've been looking at your marketing and evaluating it and looking at it critically. But can you help us understand the headwinds you faced in terms of raising prices? And as we think about your parks going forward, are we going to continue to hear about this sensitivity to promotions issue that's been a theme for so long now? Thank you.
Joel K. Manby - President, Chief Executive Officer & Director: Yes. It's a good question. Basically in a couple of our biggest markets, in the Southern California market and certainly in Orlando, our competitors are very rational competitors. And some of them just made recent announcements on some fairly significant price increases. So I do think we have opportunity. However, I don't think our greatest opportunity is raising price as much as increasing our yield and being more sophisticated and stable and straightforward in the way we market and the way we try to get people into our season pass products, our bundled products, multi-day, multi-park. And we have incredibly good value versus our competitors. I actually think we will continue to increase that spread over time as we have a value philosophy that we can carve out versus very, very rational competitors. So, if we simplify our purchase, simplify our upgrade and our packaging, I think we have a strong opportunity to increase our net on our per capita without necessarily increasing our daily rate. If anything, our daily rate may come down, but we're going to shift more people to other package products. And that's where I think we'll get an increase in per cap. And that's basically the broad philosophy that we have moving forward.
Felicia Hendrix - Barclays Capital, Inc.: Okay, great. Thank you.
Operator: Your next question comes from Alexia Quadrani with JPMorgan. Your line is open.
James Kopelman - JPMorgan Securities LLC: Hi. Good morning. This is James in for Alexia. I have a branding question and it's a bit of follow-up, I guess, to the previous one about pricing. But I assume you'll talk more about branding at the Investor Day. I wanted to ask if you're thinking about the opportunity to differentiate in Orlando and Southern California as competitors continue to raise ticket prices, given that there's some talk, meaning the competitors might be pricing some middle-class families out of the market. Do you see an opening at all in terms of the value proposition for your Orlando and California properties as peers continue to drive up ticket costs, arguably almost incessantly? It's more about branding and positioning that I'm sort of – would like to hear your thoughts more than just specifically your goals on pricing.
Joel K. Manby - President, Chief Executive Officer & Director: Yes. Actually, the answer to your question is yes. I do see an opportunity. And I tried to articulate that a little bit in the previous question, is that I think being a strong value player in Orlando and even in Southern California is a great opportunity for us, because our competitors are increasing their prices dramatically, especially on season pass product. And we have an opportunity there. And again, it's about clearly simplifying what our value is. And right now, even the way we market, I think we can improve that. And we're making great improvements. I think Pete Frey will show on Monday some of the way we're just simplifying so the customer understands the value that they're getting versus just focusing on price. And there's a difference between price and value and moving people up to season passes. So, yes, we do see an opportunity. We need to get people to buy early and understand that value. And we need to simplify our message. And we also need to limit our offer, so it's very straightforward and clear what we're trying to accomplish. I think in the past when we've had some of the brand issues, we've put too many things out there, it can be confusing to the customer. And that's what our research showed. So all that combined, I do believe we have an opportunity to create value for the guests.
James Kopelman - JPMorgan Securities LLC: Got it. Great. And then a quick follow-up, I'm just curious specifically about the consumer events, could you just provide a little bit more color on sort of where you're getting the best traction, and maybe what strategies are working, certain types of events, and where you see an opportunity to drive revenue going forward, other events (48:19)?
Joel K. Manby - President, Chief Executive Officer & Director: We have incredible events. The Halloween event, the Christmas event, I'd put up against any – in fact, the Tampa Halloween event was rated the best Halloween event in Florida even with Universal's incredible event and Disney's. So we were very proud of that. And I just went with my daughters and got the daylights scared out of me. But they are great products. I think where we can continue to evolve as a company is have more stability throughout the rest of the year and get the same kind of repeatability and basically the experience for the guests to plan on it every year, have it be part of the family culture to go see all of our events throughout the year. And have really more stability in the spring and the summer, and I think, overtime, then we can continue to increase our attendance, increase the season pass sales to have really strong events throughout the year. So that's definitely part of what we're doing moving forward. Having said that, we already have some incredible, incredible festivals.
James Kopelman - JPMorgan Securities LLC: Great. Thank you very much.
Operator: Your next question comes from Tim Conder with Wells Fargo Securities. Your line is open.
Tim A. Conder - Wells Fargo Securities LLC: Yes. Just one quick follow-up on the CapEx. You mentioned, obviously, that you lowered that guidance for the year. Are we talking just timing? Or a little more color on the reasons behind that, gentlemen?
Peter J. Crage - Chief Financial Officer: Yes, Tim, it's Peter. That's just timing. So nothing other than timing there. And of course, on Monday, we'll talk a little bit more about CapEx and how we view that going forward.
Tim A. Conder - Wells Fargo Securities LLC: Okay, great. Thank you.
Operator: There are no further questions. At this time, I will turn the call back over to Mr. Trinske for closing remarks.
Joel K. Manby - President, Chief Executive Officer & Director: Well, before I turn it over to Mark, this is Joel, I just wanted to thank everybody for your support. Again, I do feel like we are making solid progress in stabilizing our business and we do have a foundation that once we have completely stabilized our complete portfolio where we're having some issues in the two SeaWorld parks that we mentioned, I'm very excited about where we can go for the future, and I look forward to either talking to some of you or seeing some of you on Monday. Go ahead, Mark.
Mark Trinske - Vice President-Investor Relations: Thanks, Joel, and thanks, everyone, for joining us on today's call. As a reminder, we're going to be presenting and webcasting our 2015 Investor and Analyst Day on Monday at 1:15 PM Eastern Time. For details on how you can listen into the webcast, you can go to the Events & Presentations section of our Investor website, which is seaworldinvestors.com, and the complete details about the live webcast and also the corresponding materials that we'll be working off of will be posted there on Monday morning. We look forward to speaking with you again in February when we report our full-year 2015 results. And this concludes our call for today, and thanks again for your time.
Operator: This concludes today's conference call. You may now disconnect.